Operator: Good afternoon and welcome to the Wynn Resorts Fourth Quarter 2010 Earnings Call. Joining the call today on behalf of the company are Steve Wynn, Matt Maddox, Scott Peterson, and on the phone Ian Coughlan, President of Wynn Macau, and Robert Gansmo, CFO of Wynn Macau. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. If you would like to ask a question during this time, simply press star then the number 1 on your telephone keypad. If you would like to withdraw your question, press the pound key. Thank you. Now I would like to turn the call over to Mr. Maddox. Please go ahead, sir.
Matt Maddox: Thank you and good afternoon, everyone. Before we get started, I just need to remind everybody we will be making statements under -- forward-looking statements under the Safe Harbor of federal securities law. And with that, I'm going to turn it over to Steve Wynn.
Steve Wynn: Very nice to have this call again. We moved up our date because we wanted to get the information out as soon as possible so that you would know where we fit in the scheme of things. I think the numbers speak for themselves. We had a fine year. We even did better in Las Vegas, went from 240 or so to 270. And I think that -- most of you, if I can anticipate some of the questions, would be asking, what about Las Vegas? And we took a careful look at January and February, because in these calls, we're always late for the quarter but we're in one, and I know that you'd like guidance on what we're seeing. And indicators, I've been fairly pessimistic in the past. If there was a recovery underway, it was dampened by the fact that there was a great deal of capacity added to Las Vegas at exactly the wrong moment. City Center and Cosmopolitan added 9,500 rooms, almost 10,000 rooms to this inventory, at a time when the city could least -- was least able to accept that inventory. And in spite of that, our room rates are up a little, our occupancy is okay, our convention bookings are ahead of last year. I'm saying that these indicators are pointing up -- slots are still weak, but the indicators about visitation and room rate and convention bookings which are very important for the midweek period are pointing up. Now, having said that, I want to say that it's still very lackluster and disappointing. But I think that '11 is surely better than '10. We were a company that said '10 was not going to be better than '09, and we repeated it several times, in this forum that we're having today. However, I'm going to say I think '11 is better than '10. And if that's good news, then so be it. As far as China goes, Macau, that market is very robust, and we're looking forward to getting under way with our new hotel in Cotai which we finished designing. And I even have shown some pictures of the project; it's by far the best thing we've ever done. And it's a breakaway property. It represents another generation of this phenomenon that we've come to know as the integrated resort. It's an iconic building. I think most of you in the analyst community will have a chance to see it now. Matt will show it to you when you come to Las Vegas or in some form or another, Samantha. We'll begin to show our competitors and everybody else what we've got in store for them. I think that's about it for now. Matt, Ian, is on the phone. I'll be glad to let my colleagues add their take on what's going on. The purpose of these phone calls is to answer questions and, to the best of our ability, give people a chance to know what to expect in our industry and with our company in particular. Matt, Ian, you're in Macau, Scott Peterson's here, we're all here Do you have anything to add, Matt? What's your take on -- the Chinese New Year in Las Vegas surprised us. We did not -- we had said to ourselves, "Okay, the Asian population that gambled baccarat has now got real strong choices closer to home in Macau." Fewer of them are coming. And in spite of that, we had the biggest Chinese New Year we've ever had and Saturday night was the biggest night in the history of this building in terms of table win. I think we went over $16 million at the tables alone. And in China, we had a night that we'll all remember in my 40-odd-year history. We had a casino table win in excess of $46 million at slots and tables in one 24-hour period. These kinds of things tend to stick with you. Of course that has a lot to do with luck, I want to add hastily. It sometimes goes the other way. A casino that can win tens of millions of dollars can also lose tens of millions of dollars, and frequently does. With that, I'll let Matt add his comments or Ian.
Matt Maddox: Steve, I think you covered it. That's a good opening summary, and I'd suggest we just open it up for the questions.
Operator: Thank you. Ladies and gentlemen, if you would like to ask a question at this time, please press star then the number 1 on your telephone keypad. We'll pause for just a moment to compile the Q&A roster. Your first question is from the line of Shaun Kelley with Bank of America.
Shaun Kelley – Bank of America : Hi, good afternoon, everyone. Just wanted to ask, starting maybe with Macau, Steve. Obviously the results, particularly on the volume side, were pretty incredible. But we've gotten a number of questions from investors I think particularly recently as it relates to the junket and credit environment in Macau. So, whether it's you or Ian, could give us your sense of just kind of what is the latest on maybe the credit side there and your sense of junket repayment, junket liquidity, and how those relationships are doing right now.
Steve Wynn: Okay, I'll be glad to. And I think it's a very important and relevant question. In Macau, the credit balance is outstanding with our associates and the junket business is very large. We, in our own account, on our own account, reserve 3% or 4% for bad debt. This is my, let's see, 1973 is my -- my 48th year -- 38th, 39th year, something like that, 40 years, and we've never ever in the history of my company, both Mirage Resorts and Wynn Resorts, have ever exceeded our reserve. We're very conservative about credit and our relationships are managed with the junket operators in exactly the same way. One of our parent company board members is Linda Chen who is the Chief Operating Officer in China and the President of Wynn International. When Linda graduated from Cornell University -- I think she's on the call, or if she isn't, she's close by.
Matt Maddox: She's not on the call today.
Steve Wynn: Well, she's close by, in China. And Linda came to us straight from Cornell in 1989. And she's been running our affairs internationally and of course guiding credit decisions in many respects for all that time. And she's a very conservative woman. And speaking of conservative women, Marilyn Spiegel, our President of our American operations, would be on the call today but she -- I moved the call up and she was caught unaware of the schedule change and her daughter is having lasix surgery to make her vision better, so she's in L.A. today, or Marilyn would be here to give her take on Las Vegas. But as far as credit goes, we are conservative. We do not, I stress that, we do not and never have used credit as a marketing technique. You will see that in Macau usually among the younger and less experienced operators. It doesn't work. It's a fail technique. What happens is somebody comes along and thinks they can jack up the credit. They do it, it backfires, they get fired, and the next idiot comes along and takes their place. Credit can't be used as a marketing tool. We give credit to people to accommodate them, people who are well-deserving of it, and that's how we regard credit. And that's probably the reason why in 40 years we've never had the need to exceed our reserve. I hope that's a response good enough for you.
Shaun Kelley – Bank of America : That's helpful. And just kind of following up on that, you did take it looks like a $13 million bad debt provision in the quarter, Matt. Was that mostly in Macau or was that -- it's kind of across the two properties?
Matt Maddox: No, 11 of the 13 was in Macau, and really that was a function of business volumes. So if you look at -- we had significantly more business volumes, in particular in our direct program in the fourth quarter, and just the way our calculation works, the aging calculation, that was the -- the $11 million came out. So it was not additional reserve, it was purely based on business volume.
Steve Wynn: We had such a jump in volume, we had to do it. Now our auditors, if we're generous in our reserve, where we're extremely conservative as we usually are, comes the last day of the quarter and they get with Scott or Robert Gansmo, with Scott Peterson in Las Vegas or Robert Gansmo or Matt, and they say, "No, we see the collections, you got to adjust the reserve."
Matt Maddox: And just so you know, Shaun, our reserve as a percentage of receivables is 47% right now in Macau which is very, very comfortable.
Steve Wynn: How does that compare to the other operators, do you think, Matt?
Matt Maddox: Much higher.
Shaun Kelley – Bank of America : That's helpful. And just one last one because you mentioned the direct business, could you give us a sense of just kind of what your percentages are kind of indirect versus junket based VIP for the quarter and kind of how you think about that mix going forward? And that's it for me. Thanks, everyone.
Matt Maddox: On a volume basis, it's always between 10% and 15%, and it was closer to the lower end of the range based on turnover for the quarter, both in the fourth quarter of '09 and the fourth quarter of 2010. So it's growing, the direct business is growing, but our junket business, as we add junket, has been growing faster.
Steve Wynn: We've been adding junket operators. And we've got one or two more coming this spring.
Matt Maddox: That's right. Two more, potential --
Steve Wynn: That will take us to 12.
Matt Maddox: Yes, 24 additional tables.
Steve Wynn: Yes. And I think that's just for a while, but we've got two junket operators coming on stream that you'll see in the second quarter.
Shaun Kelley – Bank of America : Great. Thank you very much.
Operator: Your next question is from the line of Joe Greff with JPMorgan.
Joe Greff – JPMorgan: Good afternoon, everybody. Steve, you talked earlier about the Cotai project being a breakaway property. I was hoping maybe you can give us the sense maybe, internally, maybe how that design development has evolved. And then if you can give us any sort of sense of your view on timing with respect to conversations you're having with the government, that would be helpful. And then I have a couple of follow-ups for Matt.
Steve Wynn: Well, it's taken me a little over a year with DeRuyter Butler, my design partner, to draw the building. There's two of us that do it. And then Roger Thomas comes along and makes it look beautiful on the inside. When I say it's a breakaway property, this structure, this building and its arrangement would never ever exist in the Las Vegas market. It would only be for Macau. It's designed as a result of our experience, which is maturing as time goes by, to make the building extremely user-friendly, convenient and beautiful with the people that we cater to, our junket operators, the public, all of our restaurants, are organized in a way to be entertainment and theater. Each of them is basically a theater with entertainment. The entertainment quotient of the hotel that we're building on Cotai is markedly above anything we've ever done before. This is the kind of a thing you have to see to understand, but everybody who's seen it, they all have the same three-letter response. They go, "Wow." There's no building that looks like this. There's no building arranged like this in the history of our industry. We've always been sort of credited with leading the way in terms of the design of these facilities. And for D. Butler and I and for Roger Thomas, this is a whole other level that we've gone to. And we could only have gotten there because we had 40 years of experience. We could only get there because we've been in Macau for the past nine years since the concession was granted and since we've been in business since '06. All of this contributes to an understanding of the market. And then we get this leadership from the government who constantly gives us guidance about what they'd like to see happen in the enclave, in the special administrative region. When we get this guidance from the government about entertainment and non-casino attractions, we pay very close attention and we act accordingly. That helps us again tailor the property to Macau. This building that we're going to show everybody in no way resembles anything that anybody's ever seen before. And I think that there's a limit to the verbiage that you can attach at a moment like this. It really needs a picture and a floor plan to explain it. But I promise you that it'll attract a lot of attention. You had follow-up questions for Matt?
Joe Greff – JPMorgan: Matt, yeah. I was hoping you can help us break out the cash balance between Macau and the parent. Another question is, if corporate expense was higher than what we had modeled, I'm presuming that relates to the revenues and cash flows tracking way above where people, yourselves had modeled. If you can help us understand what that corporate expense run rate level from here might be. And then we're getting questions about the table hold impact in Macau on EBITDA, if you could help us sort of understand that. But I'm kind of coming up with a math that would suggest that favorable table hold, that it's somewhere between $15 million to $20 million of EBITDA in the quarter. If you can help us understand that, that'd be great.
Matt Maddox: Sure. So at 12/31, about half of the cash is at parent, a little more than half, and the rest is at subsidiaries, mainly Wynn Macau, of the $1.3 billion. If you look at corporate expense, we had corporate development activities actually that were ramped up in the fourth quarter. I would say a better run rate is closer to the third quarter which was, excluding stock-based comp, around $18 million, as a run rate going forward. So we just had some development activities in the fourth quarter. And you, what was your final question, Joe?
Joe Greff – JPMorgan: The favorable hold impact on EBITDA in Macau in the fourth quarter?
Matt Maddox: I mean you can -- we never calculate that for you guys. You know the range and you can see what we held, so I'll let you do that.
Joe Greff – JPMorgan: Okay. Thanks, guys.
Matt Maddox: Sure.
Operator: Your next question is from the line of Mark Strawn with Morgan Stanley.
Mark Strawn – Morgan Stanley: Hi, guys. Just one quick follow-up on Joe's question on Cotai. Do you guys have any rough range of when you could potentially sign the land concession there and whether or not you would --
Steve Wynn: Oh, yes.
Mark Strawn – Morgan Stanley: -- start meaningful construction in advance of that?
Steve Wynn: Oh, I'm sorry, I shouldn't -- Joe asked that question, I didn't respond. The government officials, Secretary Tam and the Chief Executive Fernando Chui, themselves testified before the [Exco], and it was reprinted in the newspapers, that the master plan for Cotai includes specifically Wynn Macau's new property and SJM and MGM. And so we've had confirmation from the government about their desire that we go forward. Remembering that in China, it's a country far older, far more established than the United States and things move at fair speed. And they're very meticulous about everything. And so we tend to have gaps while we wait for approvals and -- but always that government is consistent. They tell you what to expect, what they're going to do, and what they want you to do. And I met -- I meet with them every time I'm there, once a month. And all my conversations have been confirmed, what I've just said to you. And I'm hoping that we could get started in March or April at the latest. It's a landfill, as you know, at Cotai. And so there's remediation that takes place for the foundation work that adds six or seven months to normal construction time. But we're so in love with this building that if the government permits it, we will work more than one shift and make up time. I hope that answers your question. But there is no issue about whether we're going to build the hotel or not, and the government had said so.
Mark Strawn – Morgan Stanley: Understood. Thank you very much.
Operator: Your next question come is from the line of Carlo Santarelli with Wells Fargo.
Carlo Santarelli – Wells Fargo: Hey, guys. If I could just follow up on that. Steve, if I understand your timeline, could we expect possibly an opening in 2014? And then I had a follow-up on Macau. Thanks.
Steve Wynn: I think late' 14, early' 15 would be my best guess. But again I have to wait for the government to give us the green light. These are not things that are under my control, nor should they be. There are a lot of things that go into the development decisions in Macau at this point with this government. They're very self-conscious about how they want that city to proceed and what role we are to play in that procession. And so you end up sitting there quietly waiting for the guidance and for the leadership to make up their mind on when and how you should proceed. They're very specific about all of this. And in a way, although you perhaps get impatient, it's a very satisfying environment to be in because you always know where you stand. I like that personally. I find that very comforting.
Carlo Santarelli – Wells Fargo: Understood. Thank you. And then I know you obviously gave a little data point there on Chinese New Year, but could you guys maybe characterize what you're seeing obviously in January and February, to date, in some of the trends in Macau?
Steve Wynn: Everything is up in Macau and Las Vegas. And we're also being lucky.
Carlo Santarelli – Wells Fargo: Great. Thanks much.
Steve Wynn: That's a gate that swings both ways.
Carlo Santarelli – Wells Fargo: Thank you.
Steve Wynn: We held in Las Vegas, what, 22% for the year? We're always within our range. At the end of the day, I've been doing this for a long time, and it always goes -- it always straightens out. We have quarters that are down and quarters that are up, but if you take a look at our history, our casino organizations managed to get their share of the revenue, the appropriate share, for all 40 years.
Matt Maddox: Yeah, 22% for the year in Las Vegas, and then in Macau, on the VIP side, it was 3% and then 23% in the mass casino for the year.
Steve Wynn: Right on the [button].
Carlo Santarelli – Wells Fargo: Great. Thank you, guys.
Operator: Your next question is from the line of Chris Woronka with Deutsche Bank.
Chris Woronka – Deutsche Bank: Hey, good afternoon. Can you just remind us what percentage of your business in Las Vegas is convention, maybe what you expect there this year? And do you think the convention gambler is as good as your non-convention gambler? Do you see the gaming revenues kind of going back in line with the convention business?
Matt Maddox: What I'd say about the convention business is definitely we will book more room nights on the convention side, north of 20%. Somewhere between 20% and 22% of our room nights will be convention this year, and that was as low as 13 in 2009. So it's going in the right direction. And that's, even before the recession, that number was always between 22% and 25%. So now it's a question of rate. In terms of the gambler, that's really not where we're going to see the gaming revenues. The convention business is the midweek business and you feel it much more on the non-gaming side.
Chris Woronka – Deutsche Bank: Okay, great. And then just a question on comps, we know your competitor next-door has a new comping policy, at least for the middle end of the market. Is that something you guys look at or not at all?
Steve Wynn: We heard about it. We don't -- I can't say that I understand exactly what they're doing, not because it's particularly arcane, but because we can't make any money next-door, we can only make it here. So we have enough trouble controlling our comps in our own building. I'm sure, they're a pretty sophisticated bunch next-door, I'm sure if they changed their comp policy they rationalized it in terms of their own experience. And I didn't get nor have I ever had the opportunity to discuss it with those people. We don't enjoy a dialogue with them.
Matt Maddox: But we've always been one of the most conservative in town in terms of comps and we're very steady with that. And so nothing's really changed on our side.
Steve Wynn: There was a period when MGM and Venetian were very aggressive on comping. And as you go down the ladder in descending viability of these properties, naturally the management gets hungrier and hungrier to try and gather up customers, and invariably they pick up the stuff that the top hotel has rejected. And so you see that the -- it's sort of a negative process because as you go down the ladder, customers that are not worthy of promotional allowances are getting them. This invariably leads to financial instability and a change of executives, sort of like the credit thing I said earlier. Okay. I think that's all I got to say on the subject.
Chris Woronka – Deutsche Bank: Okay, great. Thanks.
Operator: Your next question is from the line of Harry Curtis with Nomura Securities.
Harry Curtis – Nomura Securities: Good afternoon. I've got a couple of quick questions. First, Steve, to what degree did the infrastructure improvements in the region in Asia impact how you design your building, and the balance between the VIP and the mass segments? And then secondly, going back to Vegas, two years ago, holding a conference or convention in Vegas was toxic, and Steve, when you speak to your friends who are CEOs, I'm just wondering if you're sensing whether or not any of that ice is thawing, and do they -- are they beginning to see the relative value that Vegas offers?
Steve Wynn: Matt, what did you say?
Matt Maddox: So, Harry, just on the convention side, we've definitely seen people have relaxed in terms of worrying about coming to Las Vegas.
Steve Wynn: You mean when the President said --
Matt Maddox: Exactly.
Steve Wynn: The business about he doesn't want people going on junkets to Las Vegas?
Matt Maddox: Yeah.
Steve Wynn: Well we had unintended consequences to that statement, as you know. I remember, I'm not going to mention the company, but one very large insurance company had a huge piece of business with us, that just the hotel bookings were in excess of $5 million. And when the President said that, and the revenue would have been in excess of $10 million, when the President said that, this company had nothing to do with TARP or government bailouts at all, very healthy, powerful company, and the chairman called, apologized that he didn't want to appear to be profligate. And so he was going to unfortunately pay $3.5 million in a forfeiture fee and cancel this $10 million piece of business. We were disconsolate over this occurrence and immediately called Harry Reid and started whining to Harry. As I say, those were unintended consequences, and as Matt has mentioned, I think that has relaxed. The second part of your question, you mentioned something about infrastructure?
Harry Curtis – Nomura Securities: Right.
Steve Wynn: Please clarify that question, I'm not sure I understand it.
Harry Curtis – Nomura Securities: Well, the expansion of the rail system by 2015 or thereabouts, the bridge connecting.
Steve Wynn: Oh, you're talking about the stuff that they're going to do, the bridge, you're talking about Cotai?
Harry Curtis – Nomura Securities: Right.
Steve Wynn: And Macau? The bridge from Lantau Island across the Pearl River Delta. Oh, my goodness. It's a cataclysmic event. It's 20 minutes from downtown Hong Kong. It makes Macau and Zhuhai suburbs and Shenzhen one giant metroplex with about 40 million people. The impact of that bridge which has been green-lighted by the Central Government is incredible. I'm not sure that any of us understand how big that impact is. And it splits -- the way it works, you come from downtown Hong Kong and you go Disney World, Walt -- Disneyland on Lantau Island, and the bridge to Lantau Island from Hong Kong is only a few hundred meters long. And then you get to Disneyland and then you keep going, and on the north side of Lantau Island is a horizontal long finger that points towards Zhuhai and the Pearl River Delta. On the north side of the island is the airport in Hong Kong, the beautiful, incredible Norman Foster Airport. And then the end of that island just past the airport is 18 miles across shallow water, maybe 18 or 20 feet deep. And across the Pearl River Delta, heading towards the peninsula that is Zhuhai and Macau, they're going to build this road, this bridge, very much like I think what you'd see in the Florida Keys. And at that point, it's all one city. And that's an -- I think there's rail, and of course the Central Government of China is connecting all the major metropolitan areas with high-speed rail. It's quite incredible to see. And the influence on future movement of the humans is powerful and enormous. That's the only thing we can say. We try to understand it because we want projections and guidance to you. And it's such a big deal, but it's hard to do. We'll undoubtedly underestimate its impact.
Harry Curtis – Nomura Securities: But do you think there are design implications, like expansion opportunities beyond your initial footprint that this cataclysmic event gets you thinking about more towards 2017 and beyond?
Steve Wynn: Yes. And we've left room in our plans to add more facilities so that we can service the needs that the government explains to us properly. Again, you always want to be in a position to follow the lead that you get from the government. They're very, very planning-oriented. And as I say, that makes life a lot simpler for us because we know what to expect. And they publish and give us formally and informally guidance on these matters. We reflect flexibility in our plans so that we can respond appropriately.
Harry Curtis – Nomura Securities: That's perfect. Thank you.
Operator: Your next question is from the line of Robin Farley with UBS.
Robin Farley – UBS: Great. Thanks. Obviously these results speak for themselves. But I had a question kind of forward-looking. First is I'd love to hear what the corporate development activity you talked about in Q4 that was a little bit more than usual. And then secondly, specifically on Japan, I'd just be curious what your thoughts are about how that might roll out in terms of timeframe and what you could do there.
Steve Wynn: Robin, I don't -- I don't know that anyone's in a position to make a prediction about Japan. Everybody's paying very careful attention. In terms of corporate development that Matt mentioned earlier, I think I'd rather talk about deals we make rather than those that we don't. And that's sort of I think a healthy attitude to have. I don't want to fill a conference call with wild statements, hopefulness and promises that we can't keep. I know that it's a popular thing that some of our competitors have done. We don't do that. So we'll do our corporate development activity when they mature and they represent real business opportunity or decisions that have been taken by the company formally. Naturally we publish them right away. But if it's all right with you, Robin, I think it's probably not a healthy thing to speculate.
Robin Farley – UBS: Okay, fair enough.
Steve Wynn: We spend money in order to position ourselves, and I think that's what -- that's our job, we get paid for that. I think that's what we owe our shareholders. But I don't know that we owe our shareholders or anybody else visions of sugar plums dancing and that sort of thing. It's just a kind of thing that is probably a good idea to avoid.
Robin Farley – UBS: Okay, fair enough. Thanks.
Operator: Your next question is from the line of Jon Oh with CLSA.
Jon Oh – CLSA: Hi. Good afternoon, everyone. I have a couple of questions. I'll start off with, in the fourth quarter we've seen a pretty steady recovery of revenue share. I'm wondering how much of that can be attributed from the impact of the additional junket operator that was brought in versus organic growth.
Steve Wynn: First of all, to that question I will respond by saying that junket grew. Our own program under Linda Chen's direction and Frankie Xiao's direction grew. Our general casino activity grew, our slot machines grew, our hotel room rate grew, and our poker grew. It's been across the board.
Jon Oh – CLSA: So there was no specific spike that came as a result of that additional junket?
Steve Wynn: I'm happy to tell you that it was straight across the board. The property, the 1,000-room Wynn Encore building is very well-received by our customers. The Encore building in particular, which reflected a structure that was designed after we had been in the market for a couple of years, we had gained insight, was reflected in the design and execution. And it represents a progression, an evolution of our perception of the market. Cotai is yet another echelon, another plateau of that sort of thing.
Jon Oh – CLSA: Okay. And I guess thinking of just your business segments between direct and junket and also, to some extent, the mass market, what do you see as the low-hanging fruits from this year that you expect the strongest form of growth?
Steve Wynn: What do you think, Matt? Or Ian? We could talk about Las Vegas. We could talk about -- Scott Peterson's here. He's an expert on the low-hanging fruit. Robert Gansmo is on the call. Robert, are you there?
Robert Gansmo: I am indeed, Steve.
Steve Wynn: There, there's that fine gentleman. I'm particularly proud, I have to add this, I'm particularly proud about the depth of our financial area of our company. I've been doing this for 40 years and I've never been in the company of such talented men and women as we have now. So I think maybe Scott Peterson and Robert Gansmo should be -- should weigh in on this one.
Scott Peterson: I mean in terms of areas of opportunity for growth in 2011? I mean, we're continuing to see improvements in domestic business, and so we're seeing lots of opportunities there. Obviously Matt already talked about the convention opportunities that we have here in Las Vegas. We're expecting that to really help us on the room side this year.
Steve Wynn: You raised rates.
Scott Peterson: Yes.
Steve Wynn: We raised rates. We have just remodeled the entire Wynn facility. We spent -- we've pumped into Las Vegas $200 million last year, between the beach club, Surrender and the total remodel of Wynn. We upgraded all of our rooms. We did a number of things. We re-did baccarat, and that's been very well-received. So those were things that we're able to do. We have 3% of our rooms -- between 2% and 3%, of our rooms still under remodel. We finish by April, the end of April. And the amount of rooms and our out-of-order suites and villas is down to 2% or 3% now. So it really doesn't matter a lot. It did over this past weekend with Super Bowl. What else did you do, Scott?
Scott Peterson: Well, I mean, again, as you referred to, it's the first full year now of operation of Surrender and the beach club, so we'll see improvement there just because it's a full year. I think also --
Steve Wynn: In spite of competition.
Scott Peterson: In spite of competition. I think in the second half of 2010 we also made some good improvements in the way we're operating the facility. So I think that we'll see some improvements in expenses. I mean I think overall where we're at right now in the fourth quarter is kind of where we are, but compared to earlier in the year and in past years, I think we've made some dramatic improvements.
Steve Wynn: Robert, what do you think, looking at your operation in Macau?
Robert Gansmo: Well, you know, Steve, I think that Encore gave us a huge boost, and that came on in April 21, so we haven't seen a full year of Encore's capabilities with us yet. And there's actually still room to grow there. So, especially on the weekends, we're always capacity-constrained with our rooms. And so adding the 414 rooms and suites really helped us out. Another thing that we've done is, as everybody has mentioned, we've added some junkets. And in fact, we continue to modify our floor, to increase capacity with both our VIP and especially also our high-limit mass areas. That's been extremely well-received. The boutique [fill] associated with the Encore casino has really been a boost to our win per unit.
Steve Wynn: Robert, just for a second, I want to clarify for the people on the call. We, in Encore, we added what looks like a general casino area on the corner facing MGM and the Arc, our neighbors. It has a door around the corner, and what are there, 27 games in there, Robert?
Robert Gansmo: Yeah, 25 games.
Steve Wynn: Twenty-five games. And they're in a space that is enclosed. It's not a junket room, ours or anybody else's. And how does the win per unit in that environment compare to the win per unit in the rest of the general casino? Could you share that on this call?
Robert Gansmo: Yeah. I got to tell you that those games over there, we start -- we only started out and opened up, because of its positioning across the street from MGM, we thought that perhaps we needed some lower-limit games, some $100 games. And what we found was the customer presence there was demanding that we raise the limits. So now you won't find a game that's less than $500. In fact, you might have a difficulty finding that sometimes. You've got $500 games, $1,000 games, $2,000, $3,000 games in there.
Matt Maddox: And on a win per unit basis, it's almost three times the amount in the fourth quarter and two-and-a-half times for the full year compared to the general casino.
Steve Wynn: There's an interesting piece of information. The Chinese market responds to intimacy. So now we have a piece of mathematics that impacts the design part of our company that I'm so involved with. We have a phrase that we use with a smile on our face called "learning from Lisboa." And for many years Stanley's operation, under the direction of Ambrose So and [Louis Ng] and others, was a series of small spaces that were added on and added on and added on until it became sort of a worm's nest of one space added onto another. Now ordinarily you'd say, well, that's an awkward way to build a building. Of course it represents many, many years of expansion as the market grew. But we looked at that and said, but the Asian player is used to intimacy, used to smaller spaces. They seem to be comfortable in it. So when we designed Wynn Las Vegas -- Wynn Macau, rather, we chambered our casino, something you would never do in Las Vegas. We chambered it. We put columns that were not structural to break up the space into 14 and 16-game units, and we draped those columns with tied-back drapes to give them more of a sense of enclosure. We did the air conditioning, the HVAC, heating, ventilation, air conditioning in such a way that we could separate them with a rail or perhaps with a glass wall or finally with a partition without interrupting the business. We gave ourselves the opportunity to break down the space. That was received very well and the performance of Wynn Macau from the day that it opened was superior to its competition. Then when it came time for Encore, we actually built spaces that were smaller, on purpose. And you just heard what Matt said. What's the multiple?
Matt Maddox: Three-and-a-half times in the fourth quarter and two-and-a-half times for the year.
Steve Wynn: And I have to say, if any of the Lisboa people are on the telephone, learning from Lisboa. I mean it's very good to visit your competitors, to see what they're doing. And from those visitations, get some sense and guidance on what you should do when you design a building. It's Macau, it's not Las Vegas, and it's always instructive to remember that. That's the low-hanging fruit, increasing --
Scott Peterson: Can I add one thing, Steve, because I didn’t want to sell our slot [friends short]. Marilyn's put a high priority on -- really she thinks there's a lot of opportunity in our slot revenue.
Steve Wynn: That is we think we can do better, Scott.
Scott Peterson: Yeah, absolutely. She's doing a lot of work. I mean I'm meeting with her and a whole team is meeting with her. So I think there's a low-hanging fruit there too. And that's going to be -- a lot of that's going to go straight to the bottom line.
Steve Wynn: Yeah, we've restructured our slot operation for 2011. We're in the process of doing that. It will be completed here in a few days, and we're going to have a jump there.
Jon Oh – CLSA: A follow-up question, Matt alluded to the percentage of about 10% to 15% of being direct versus junket. With the two additional junkets that will be coming in, in spring, how should we see that ratio?
Matt Maddox: With two additional junkets, you could see that ratio go to the lower side, for sure. But the direct business is still up well over 50% for the year and is continuing to grow. But when they grow, it's then one customer at a time.
Steve Wynn: Ian, do you have anything to add to that? You're the boss.
Ian Coughlan: -- add to just the general market and our opportunity this year, you don't get a lot of transparency in the investment community on what we do behind the scenes, but we're the employer of choice, we're first out of the gate to recognize where our employees' livelihoods need to be improved. We invest a huge amount of money behind the scenes in training and development. We have a massive learning and advancement program in an ever-shrinking employment market. We've weathered nine new casino property openings, four of which claims to be better than Wynn. And we continue to be at the vanguard and at the front of quality in a very, very tight labor market. So there's a lot of work that goes on behind the scenes to keep us ahead of everybody. Our employees recognize that. And there's great consistency in the service delivery of Wynn Macau. And we've seen areas like the mass market where everybody's gone promotional and had bannered their casinos. We've maintained quality. We've tried to improve the offer and we've focused on service delivery. And we reap the rewards of that both in slow times and in busy times.
Steve Wynn: If I can add to what -- those points that were so well-made by Ian, last month or about six or eight weeks ago, Prime Minister Wen Jiabao came to Macau and said that he hoped that the prosperity that the resort industry was enjoying in Macau would be shared by the workforce. That was followed immediately by public comments made by the Chief Executive Fernando Chui. When our company hears those kinds of comments, we don't wait for a week or a month, we respond instantly. And we increased the line employees', all the non-executives, salaries, and the cost of living increase by 6%. We were first to do that, not because we wanted to be first but because we respond directly to leadership given to us by the government. And that's an important part of our strategy about our identity in that community. Our job is to constantly refresh the notion that we are humble, proud and grateful to be allowed to be part of that scene. And the way you do that in China is to take good care of your employees.
Jon Oh – CLSA: Okay. And I guess finally, are we still aiming for a $2.5 billion price tag for Wynn Cotai. And could you also share with us what is the latest date for construction to commence in order to meet the timeline of 2014 or late 2014 opening?
Steve Wynn: Well now that the plans are finished, it's in the hands of Wynn design and development to create a construction budget. And that process has just begun. And I'm not quite ready to say, but I think $2.5 billion is a comfortable number for us. We'd have no compunction about spending that kind of money on the facility with all of its entertainment potential. And so -- and as far as I mentioned a few minutes ago as far as when do we get started, that's up to the government. They'll tell us. And I expect that it's not very far away.
Jon Oh – CLSA: Okay. Thank you, everyone.
Steve Wynn: You're welcome.
Operator: Your next question is from the line of Janet Brashear with Sanford C. Bernstein.
Janet Brashear – Sanford C. Bernstein: Thank you. I'd just like to follow up on a few earlier points. First, on the topic of credit, you said that credit is looser now than in past times perhaps and abundant in the market. And also you reiterated that your practice is to be extremely cautious. I'm wondering if you're seeing credit being extended too freely elsewhere in the market, and if so, what impact would that have on the market as a whole.
Steve Wynn: Do you want to answer that, Robert or Ian?
Robert Gansmo: Sure. I mean, we take a lot of time to understand our customers. We don't use our credit as a marketing tool. We're conservative in our reserve methodology because we don't want to get whipsawed. I think that -- I can't say for sure how the other operators make their judgment calls, but it appears that credit for a time, if you go back to a couple of years, was over-extended. It also appears that some of the operators may have more liberal decision-making processes with respect to credit than we do.
Steve Wynn: Well said, Bob.
Robert Gansmo: I would not take it that our credit has loosened. I would say that our business volumes have increased. We've made our -- we've kept our reserve methodology the same throughout, and we'll continue to do so in the future.
Steve Wynn: Politically correct.
Ian Coughlan: We continue to be very prudent about junket partnerships. We have more people interested than we require and we add very organically. We're very careful in our due diligence. And the relationships we have with our junket partners are true partnerships. We're very, very careful on how we vet people and whom we allow on property. And looking at the rest of the market, one would say that that may not be the case in certain properties, but certainly Wynn Macau we're conservative and careful. And we benefited from very close engagements with long-term business partners, and the fruits of that can be seen in our results.
Janet Brashear – Sanford C. Bernstein: Okay. Thanks.
Steve Wynn: Excuse me. Excuse me. When I said that we've been lucky, I want to make it clear. We've only been holding 1.9% in Macau. So if you see our market share this month, it's going the other way for a few weeks. And those things get corrected, as I say. And we'll get 2.9% or 3% and our market share will pop back up, as it always does no matter what the other guys are doing.
Janet Brashear – Sanford C. Bernstein: Okay, thanks. I also wanted to follow up on the infrastructure question that we were talking about earlier. As traffic continues to grow in Macau, the visitation traffic, the people flowing in, and new supply is moving very slowly, do you foresee a point where the current infrastructure starts to become a barrier to growth and where your gaming positions max out?
Steve Wynn: No, I don't, to give you a short answer. I don't. I think there's a lot of capacity and I think that the infrastructure will handle it. If you're asking me about the impact of the bridge, again, as I said earlier, it's hard to imagine what it's like when it's 20 minutes in the car from Hong Kong to -- and maybe 40 minutes, 35 or 40 minutes, from Shenzhen. I can't -- and the rail service, I mean, these things are so strong that we're in a bit of a quandary about that. I don't know how Ian feels about it.
Ian Coughlan: I think if you look at the very peak times that happen in the city over the Golden Week holidays, everybody manages to get in, we're able to handle incredibly high volumes. I think the infrastructure side of things is a bit over-talked-about. There are good things happening in the next 18 to 24 months. We have the Pac On Ferry Ferminal, goes through a considerable expansion, the Gongbei Border gate is increasing capacity of daily arrivals by up to 60%. And there's more ferry services being put on line to Macau. So the market seems to be able to handle the additional customer arrivals. So I don't foresee an imminent problem. And the beauty of Cotai coming on stream in late '14, early '15, is the monorail system will be up and running from the Pac On Ferry Terminal around our property on two sides. So the government has reacted, there's more taxis in the marketplace. Macau is a small city. When it's very busy, it does get a little bit choked at key times. But that's the same everywhere in the world.
Janet Brashear – Sanford C. Bernstein: Great.
Steve Wynn: We're right next-door to the airport. We're the closest hotel to the new ferry terminal. And the monorail storage yard is behind our hotel. And the monorail, as Ian just mentioned, goes around two sides, and the main stop is at our front door.
Janet Brashear – Sanford C. Bernstein: Great. Thanks. If I could get you to speculate on one more impact in the market. Galaxy Macau opens sometime in the near future. What impact would you see that having broadly across the market?
Steve Wynn: Well, they've done a very -- I talked to Mike Mecca, the boss. And if he's listening, hi, Mike. How are you and Sandy? As I understand what they're doing, it's very ambitious, wonderful hotel. And it's a combination of several offerings, a company that specializes in spas and rooms of that sort. So it's a complex building with a lot of bells and whistles attached to it. So I expect that it's going be well-received. It's certainly the most ambitious and far-reaching of the Galaxy properties. So I expect it's going be a big lift for them.
Matt Maddox: It should be good for the market too because the market does not have enough hotel rooms to accommodate the people on the weekends. So I think it will be good for Cotai and good for the market overall.
Steve Wynn: Yeah. I can't wait to go see it. It's next month.
Janet Brashear – Sanford C. Bernstein: Thank you.
Operator: Your next question is from the line of David Katz with Jefferies.
David Katz – Jefferies & Company: Hi. Good afternoon. I wanted to ask about Las Vegas. We've obviously come through an unprecedented set of circumstances in that market, and obviously the path to recovery, to some degree, is unprecedented also. Can you talk about how your cost strategies, how you're thinking about cost strategies in the next 12 to 24 months? I know there were instances of reducing labor in particular, and if you could sort of talk about that topic and give us some color, that would be helpful. Thank you.
Matt Maddox: Sure. I mean, look, we're running at around 9,300 FTEs right now, and we think that that is a good run rate for even if business volumes do increase. So our fixed cost right now, we feel comfortable with, and any increase in cost should really be more on the variable side. So that's the beauty of these hotels, was operating leverage. As things get better, your margins get better.
Steve Wynn: Scott?
Scott Peterson: Yeah. So we've learned a lot in the last year-and-a-half, I mean since Encore opened. And with the troubled times that the world went through, we had to look at ourselves, and we went back and changed a lot of things. And we got smarter. And we're ready to start taking advantage of that.
Steve Wynn: And Marilyn came along.
Scott Peterson: And she's opened up a whole new set of eyes.
Steve Wynn: And we have sort of an inbred culture here. And we look at each other all the time and we're sort of likeminded men and women. And it's nice to have someone else with a fresh perspective.
Scott Peterson: Absolutely.
Steve Wynn: Join, sit at the table and say, "No, I don't think so."
Scott Peterson: Or just why? Why?
Steve Wynn: Yeah, why would you do that? And sometimes we don't have a very intelligent answer. But Marilyn has focused us in some ways that are surprising and very refreshing.
David Katz – Jefferies & Company: Would you be able to talk about any specifics as to what her perspectives are and what categories she's brought a new look?
Steve Wynn: Well, I remember one conversation I've had with Marilyn was about six weeks after she came. She came to my office and said, "You know, Steve, we have tremendous success with nightclubs and, our very popular hit, restaurants." I think our Steakhouse SW is the most successful restaurant in Nevada. She said, "The public taste has changed. We have a five-star restaurant, a Michelin-starred restaurant, a five-diamond restaurant in Alex. But people don't want to sit for three hours and eat dinner that way anymore. I'd rather repurpose that restaurant. I know that you love the idea that one of the restaurants has got all those Michelin stars." We've got three of them in the building, but this one in particular, this gourmet kind of restaurant. She said, "I'm not sure that we can't use that space more effectively in another way." And frankly, I would never have questioned that restaurant on my own. Marilyn made me question the restaurant. And she was right. I offer that as just a simple example of -- that was something that she brought to my office that I would have missed. There's been more of that sort of thing. We tend to be siloed to use her word, siloed in the sense that each department sort of is complete unto itself. We decentralize authority, because we think that we want to put our best people right in the -- touching the customer everyday. We don't have a big layered structure. Well, that's good. That's good in one way. We don't have a lot of vice presidents, and floaters that go in food and beverage and other departments. But on the other hand, that management style tends to miss some chances for sharing of employees, like making runs to the warehouse. Each restaurant had a runner. Why not have a runner handle several restaurants? That's not asking too much. Let's not silo or isolate each operation so much unto itself. It's good that you think about it the way you do, but Marilyn said, I think that in the process, you may be spending some money you don't have to spend. And I found that very interesting. And she used that word siloed in the sense that you have a self-contained tube that doesn't look outside itself very much. That's always a danger when you're very focused on full service. It turns out that we could make a change like that without sacrificing one speck of quality of service or responsiveness to our guests. And I welcomed that sort of thing, as did Matt and Scott and the rest of us. And I think we're all one family here, so that sort of spills over to Ian. Ian comes from the peninsula operation in Hong Kong, and he wasn't so siloed. I don't want to put words in your mouth.
Ian Coughlan: Ten years in three-star hotels, so I'm used to working with a tight budget.
Steve Wynn: You started with three-stars, but when's the last time you were in a three-star hotel, Ian?
Ian Coughlan: I stay in three-star hotels. I like --
Steve Wynn: Oh, you stay in them? Come on, you're going to make people think we're not paying you enough.
David Katz – Jefferies & Company: Thank you for that. May I ask just one more quick one?
Steve Wynn: Yes.
David Katz – Jefferies & Company: Please? Which is, I think on -- if we went back several conference calls, I believe you said that it would be a very long time before you would develop anything in the United States again. And I wondered if you still think that's true.
Steve Wynn: I don't. Still think it's true. I changed my mind.
David Katz – Jefferies & Company: Yes. Okay. Thank you.
Steve Wynn: You're welcome. I think that will do it.
Matt Maddox: That was the last question. So, thanks everyone for joining us.
Steve Wynn: Bye-bye.
Operator: Thank you all for participating in today's conference call. You may now disconnect.